Operator: Thank you for standing by and welcome to the Arconic Corporation Third Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, today’s program is being recorded. And now, I’d like to introduce your host for today’s program, Shane Rourke, Director of Investor Relations. Please go ahead, sir.
Shane Rourke: Thank you, Jonathan. Good morning and welcome to the Arconic Corporation third quarter 2022 earnings conference call. I am joined today by Tim Myers, Chief Executive Officer; and Erick Asmussen, Executive Vice President and Chief Financial Officer. After comments by Tim and Erick, we will have a question-and-answer session. For those of you who would like to follow along with the presentation, the slides are posted under the Investors Tab on our website. I would like to remind you that today’s discussion will contain forward-looking statements relating to future events and expectations. You can find factors that may cause the company’s actual results to differ materially from the projections presented in today’s presentation and earnings press release in our most recent SEC filings. In addition, we have included some non-GAAP financial measures in our discussion. Reconciliations to the most directly comparable GAAP financial measures can be found in today’s earnings press release and in the appendix in today’s presentation. With that, I’d like to turn the call over to Tim.
Tim Myers: Thank you, Shane and hello everyone. I will start on Slide 4 with some key takeaways for the quarter. We generated $2.3 billion in sales, up 13% organically year-over-year. We have resolved the equipment-related operational issues in Tennessee and Davenport that impacted production volumes in the third quarter and we completed the $300 million share repurchase authorization. Adjusted EBITDA in the quarter was $143 million in the center of the expected range of $135 million to $150 million. In North America, our end markets remain strong, as we grew organic revenue year-on-year in 4 of 5 end markets, this despite production challenges we had in the quarter. Going forward, we believe we are well positioned given the recovery in aerospace and automotive as well as our expansions into packaging and industrial and building and construction has been and continues to be strong. As you know, in Europe, hyperinflationary energy prices are driving up costs and reducing demand across sectors. We are feeling pressure across all our operations in Europe, but we are being especially impacted in our Hungarian facility, which primarily services the industrial market. But here is our biggest problem. The operational challenges we discussed in September, Camas production was ramping to record levels in North America, and we were executing a higher level of capital investment. That greatly limits our ability to recover the lost sales when our assets are not operating at expected rates. Moving now to Slide 5, I will provide some additional detail on the challenges we faced in the third quarter. Starting with operations, the previously identified issues that impacted our Tennessee and Davenport facilities in the third quarter have been resolved and both facilities are now running at expected rates. At the same time, we are enhancing everything for maintenance practices to outage planning to better assure stability moving forward. The biggest disruptor in the third quarter was the electrical issues in Tennessee that caused the hot mill failed multiple times. The sales cable was identified as a root cause and has been repaired. The asset has been running at expected rates since September 6. In normal times, we could accommodate a casting put outage at a facility or two without dramatically impacting shipments. However, the rapid ramp up at our Tennessee facility involves increasing hot mill rates and a new product mix. This rapidly changing and increasing order load exposed the delackering furnace and electrical cable vulnerabilities. The combination of these four issues simultaneously impacting production over the span of a few weeks disrupted our entire North American rolling system. Altogether, we estimate the challenges that Davenport and Tennessee reduced our estimated adjusted EBITDA outlook by approximately $70 million for the full year 2022 compared to our expectations coming out of the first quarter. Just as we were getting those issues behind us, we were further impacted by issues related to our initial planned outage to increase capacity at our Lancaster facility. The Lancaster hot mill was taken offline as part of our Phase 2 growth initiative with a planned outage of 3 weeks. This included upgrading three key pieces of equipment. Two of the three are operating as expected, while challenges to reach pre-outage run-rates on one of them are hampering us on the third. This is causing the hot mill to be run at reduced rates impacting shipment volumes. We are continuously making progress on restoring production to normal levels and expect operations to return to normal rates by the end of the fourth quarter, but we anticipate them, impacting earnings by $25 million this quarter. Our Lancaster facility had been running at record rates, starting in 2021 and continuing into 2022. As such, we don’t have the ability to recover the lost sales and production. So what are we doing to address these issues moving forward? First, we had already increased sustaining CapEx over the last 2 years. We intend to maintain this level of spend as we grow the business for the foreseeable future, so we don’t lose gains we make in growth investments to leakage in our core capacity. Secondly, we have enhanced our maintenance and monitoring practices and we are enhancing multi-site peer reviews of all outages over 7 days as well as securing engineering, procurement and construction management contracts at our major capital projects moving forward. We have been and will continue to increase staffing and operations and reliability engineering roles from senior to entry-level positions. With regard to the potential impact of future results, we are also building in greater contingency to operating plans and we will be being a bit more conservative about outage timing for maintenance and capital projects. We also called out Europe demand and energy cost as a driver of $35 million in estimated adjusted EBITDA headwinds for our 2022 outlook compared to our expectations coming out of the first quarter. Energy spot prices in Europe have since improved moderately in the near-term and we have revised that view by a favorable $5 million. European demand has fallen off significantly in the second half of the year as hyperinflationary energy costs curtail industrial activity and demand for end products. The drop in industrial and commercial transportation demand in the region has the greatest impact on our Hungarian facility. We are also seeing slowdowns in our European Building and Construction Systems business, which make up about 30% of the BCS segment total. If demand continues to be impacted at these levels in 2023, European facilities profitability could be reduced breakeven, similar to what we experienced during the pandemic compared to our current run-rate of roughly $100 million annually. We are taking a range of countermeasures and we also expect some regulatory relief, similar to the early days of the pandemic, which should help to mitigate the impact of the European weakness. Moving now to Slide 6, I will provide some detail on how we performed across our end markets. So what stands out here? First, we had double-digit year-on-year growth – revenue growth in every market, but industrial, which was significantly impacted by the operational issues in Tennessee. Aerospace, Packaging and Building & Construction have led and will continue to lead our growth all year as ground transportation recovery has been a little bit slower than anticipated and industrial has faced challenges on the company level. Now, let’s move down to the bottom right corner of the slide. In total, organic revenue was up 13% over last year. Ground transportation sales increased 11% organically from third quarter 2021, building on 10% growth in the second quarter. Automotive demand continues its ramp to recovery with some fits and starts. This growth was partially offset by commercial transportation volumes, which were impacted by the production issues we discussed earlier. Sales in the packaging market were up 28% year-on-year due to the ongoing ramp up at our Tennessee facility. Year-on-year growth slowed from the second quarter, primarily due to lower export shipments of packaging from China and Russia. The Tennessee packaging business met its can sheet requirements despite production challenges in the last two quarters. Following a 29% organic increase in the second quarter, third quarter building and construction sales increased 17% organically year-on-year. The strength continues to be driven by pricing actions as well as strength in North America, now partially offset by weakness in Europe. Third quarter sales in the industrial market declined 19% organically year-on-year. Demand and pricing in the market remains strong, but our sales were reduced substantially by the challenges in Tennessee. We entered the quarter with a significant backlog in our industrial order book that we are working to clear through the fourth quarter and early into 2023. Finally, third quarter aerospace sales were up 49% on an organic basis year-on-year. This compares to 50% organic growth in the second quarter, but against a much stronger year-over-year comparison. As the comparisons get stronger heading into the fourth quarter, we may see lower year-on-year growth, but the ramp-up continues. All signs point to ongoing demand recovery, including large commercial aircraft production rates, and consumer demand for air travel. I’ll now turn it over to Erick to discuss third quarter results in more detail.
Erick Asmussen: Thanks, Tim. I’ll start on Slide 7 with our third quarter financial highlights. Revenue was $2.3 billion, up 13% organically year-over-year. In the quarter, we had a net loss of $65 million or $0.64 per share compared to net income of $16 million or $0.15 per share in the third quarter of 2021. Our third quarter net loss includes a $70 million after-tax non-cash impairment charge related to our business review, we executed in the Extrusion segment. The long-lived asset impairment was triggered by a revised long-term outlook that came out of our regular financial planning process. Adjusted EBITDA was $143 million, which was a decline of 16% year-over-year. Free cash flow for the quarter was $44 million and was impacted by lower-than-expected profitability as well as working capital challenges related to our operational issues. Lower aluminum prices are favorable to working capital but are being offset by inventory congestion in the quarter related to our operational issues. In the quarter, we repurchased approximately 3 million shares and completed the initial $300 million authorization that we had announced in May of last year. Since the inception of this program, we have reduced the number of shares outstanding by approximately 9%. Lastly, our balance sheet remains strong as we ended the quarter with cash and available liquidity of approximately $1.4 billion. Now I’ll turn to Slide 8, and I will discuss our quarterly financial performance in more detail. Revenue in the third quarter increased $390 million year-over-year, primarily due to the impact of higher loan on prices as well as realization of pricing actions and improved volume and mix. Adjusted EBITDA in the quarter was $143 million, down $28 million or 16% year-over-year due to the impacts of the operational challenges on volume and fixed cost absorption and the European energy impacts to volume and costs. We continue to push to offset inflation with pricing actions as we continue to experience high inflation. Our savings net of inflation was a negative $187 million as it was impacted by the operational issues and European energy inflation and includes approximately $128 million of inflation in the quarter primarily from energy, transportation and alloying materials. Turning to Slide 9, I will review our segment performance. Starting with our Rolled Products segment, revenue in the third quarter was approximately $1.9 billion, up 9% organically year-over-year. Sales volume and net savings were significantly impacted by the operational challenges in the quarter and adjusted EBITDA was $111 million, down $44 million or 28% year-over-year. Revenue in our Building & Construction segment in the third quarter was $321 million, up $64 million year-over-year and up 26% organically. Adjusted EBITDA was $49 million, up $15 million or 44% year-over-year, driven by better pricing that continued to offset inflation and higher aluminum costs. This segment is performing at a high level. And as we discussed in the past, we had significant investor interest and enthusiasm earlier in the year, which drove us to consider a transaction to enhance shareholder value. However, the speed of deterioration in the debt markets caused by surprise, and we terminated the process as we determined that pushing for sale without available debt financing would likely undervalue the business and destroy shareholder value. As you can see, the quarterly performance of this business continues to perform very well. Revenue in our Extrusion segment for the quarter was $98 million, up 32% year-over-year. Adjusted EBITDA was a loss of $13 million versus a loss of $7 million last year as pricing actions and volume growth could not offset the high inflation we’re experiencing. We continue to work on structural changes in volume loading to improve profitability in this segment. Now I’ll turn it back over to Tim to review our outlook by market.
Tim Myers: Thanks, Erick. You’ll notice here that we’ve reduced our revenue growth expectations in every market other than building and construction. It’s important to note, however, this is nearly all driven by operational challenges that reduced our shipments for the year rather than demand decline. In fact, we have backlogs in industrial and aerospace orders that will be addressed in the fourth quarter and into early 2023. Ground Transportation organic revenue is now expected to be in the range of up 0% to 5% year-on-year compared to the prior view of 5% to 10% growth. The automotive ramp continues, but orders continue to be uneven as OEMs work through broader supply chain challenges. We’re also keeping a close eye on commercial transportation demand going into 2023 as we know fleets are very sensitive to higher interest rates. Our industrial organic revenue expectations fall to flat to down 10% year-on-year from 5% to 10% growth due to the issues at Tennessee and Lancaster while the end markets remain strong. In fact, we have a backlog entering the fourth quarter of nearly $50 million in that segment. We continue to perform well on building construction sales and are maintaining our view, 15% to 20% year-on-year organic revenue growth. North American non-residential construction remains strong, while activity in Europe has slowed. Our packaging organic growth outlook has been reduced to 20% to 30% from 20% to 40% due to lower export sales out of our China and Russia operations. The North American ramp continues as expected. Aerospace organic revenue outlook has been reduced modestly to 30% to 40% from 35% to 45%, predominantly reflecting the production challenges at Davenport in the third quarter. Our view of market recovery is unchanged. Turning to Slide 11, I’ll provide an update on Russia. We announced in May that we were initiating a process to sell our Russian operations, and we are continuing to pursue the sale. The company has had several interested parties in the process and is ultimately working towards the completion of the sale of the operations to a third party pursuant to a framework agreement. The process for obtaining government approvals is unusually complex given current geopolitical factors and ongoing proceedings involving the company’s operations in Russia. This creates uncertainty with respect to our ability to ultimately estimate the timing or likelihood of this transaction. We continue to support our 3,000 employees through this difficult and transformational time. Despite challenges, our operations in Russia continue to run very well. Adjusted EBITDA in the second quarter was – third quarter was $20 million, which is down modestly from $22 million in the same quarter last year. We are increasing our guidance for our Russian operation to $75 million to $85 million from $50 million to $80 million as the team there has been able to address challenges around input supply and offset lost export sales in the second half of the year. Cash at the end of the quarter was $174 million, up from $79 million at year-end 2021. This is primarily a result of strong earnings and foreign currency fluctuations. Let’s move now to Slide 12, and I’ll review our outlook for the year. We now expect full year 2022 adjusted EBITDA to be in the range of $700 million to $730 million compared to our prior expectation of $715 million to $765 million. The reduction is primarily due to the challenges at ramping up our Lancaster facility after our scheduled outage to increase capacity on our hot mill. We expect full year revenue to be in the range of $9 billion to $9.3 billion compared to our prior view of $9.2 billion to $9.5 billion. And free cash flow is expected to be approximately $150 million for 2022 compared to our prior view of approximately $200 million due to our reduced earnings and higher working capital outlook. While we are not satisfied with the adjusted EBITDA performance in 2022, there are several reasons to remain excited for the iconic story and our opportunities moving forward. First, we’ve resolved the operational issues at Tennessee and Davenport with the repairs last quarter and those facilities are running well. We also have organic capital investment plans that support a long-term path to EBITDA growth. Our Phase 2 project in Davenport is complete and contributing to EBITDA now. And the Lancaster hot mill and project is underway and is targeted to reach its run rate EBITDA impact in the second half of next year. We also project our additional future costs and growth projects will be able to contribute another $200 million of incremental EBITDA. That said, we are revisiting the scope and timing of these investments to consider several factors. First, we are prioritizing the cost-out return-seeking capital projects to avoid market risk. In simple terms, that means we are going to prioritize the melting and casting projects that will improve our cost position as well as enhance our ESG characteristics. Second, we are targeting off-line capacity additions that don’t involve existing assets that are operating at peak rates. Based on our experience this quarter, de-risking our profit gains versus potential losses in our core earnings capacity. Third, we are delaying the project in Europe until we see sustainable improvement in general economic conditions there. And finally, we are spreading the investment period to assure that we can appropriately de-risk capital installation and the associated ramp-up and the qualification period associated with the next growth project at Lancaster. Altogether, these changes will move the realization of the $200 million in EBITDA uplift on a run rate basis out 1 year to year-end 2026 versus our prior estimate of year-end 2025. We believe now it’s the time to be very intentional in our capital allocation execution given global macro uncertainty and inflationary pressures. Wrapping up, this was obviously a tough quarter. But looking to the future, the issues we experienced are transitory, and we are quickly addressing them. Our opportunity is still one to be optimistic about. Our end markets are strong, particularly in North America. Aluminum continues to win in the markets we serve, and we have multiple levers available to drive earnings growth and strong returns for our shareholders moving forward. Thank you very much for your time and your interest today. And now I would like to turn it back over to Jonathan to open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Timna Tanners from Wolfe Research. Your question please.
Timna Tanners: Yes. Hey. Good morning and thanks for the update.
Tim Myers: Good morning Timna.
Timna Tanners: Good morning. I wanted to dive in a little bit more on the 5-year strategic plan review and any implications for the extrusions business. We saw the further write-down? And just can you elaborate a bit more on your plans there to turn that around?
Tim Myers: Yes. Timna, so we are continuing on with some of the structural cost reductions that we put into that business, still phasing out of certain parts of the manufacturing, particularly in North America. We do have some long-term contracts in segments that we eventually want to exit that are going to be running out in 2024 and 2025. And really the biggest driver for the recovery will be aerospace and particularly our large best operations here in North America as that ramps up, it should help us improve the profitability. So, we are going to continue on with turning that business around.
Timna Tanners: So, if I understood you properly, you are looking to exit parts of the business and the other parts you are hoping will be benefiting from aerospace recovery and getting fixed kind of with the cycle recovering?
Tim Myers: Yes. So, sometimes you have to get smaller to get better. And this happens to be one of those situations.
Timna Tanners: Got it. And then on the packaging side, last quarter, I think it was – we heard some cautious comments from Ball and the producers we spoke with were a bit dismissive or less concerned. This quarter, we are hearing cautious comments from Crown. Like can you just address the risk on the packaging side? It’s typically been more stable business, but is there something that could be different this time?
Tim Myers: So, in your comment, I am going to answer that from the North American perspective because we participate in Russia and China as well. Here in North America, we are ramping up. I think we represent about 4% of that market. We contracted that out amongst the six customers. We have not seen a falloff in our demand. And given our relative size and the attractiveness of where Tennessee is located vis-à-vis can lines. I don’t have a lot of concern with the packaging market.
Timna Tanners: Okay. I will leave it there. Thanks very much.
Tim Myers: Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Corinne Blanchard from Deutsche Bank. Your question please.
Corinne Blanchard: Hey. Good morning Tim and Erick. Thanks for taking my question. I am just trying to understand better the path to 2023. So, obviously, a lot of challenges operation asset back, but also a little bit more on the end market in macro level. But if I look on trade like consensus estimate, I think your 2023 imply like roughly about 15% growth versus 2022. Just wanted to get your thought on how comfortable you would be with those numbers or if you have a different view?
Tim Myers: So, I will again start with – we have had about $100 million now of operational headwinds in the second half. And so I would certainly not plan on carrying that kind of performance through 2023. So, I will start with that. When I look at external estimates, it’s not always clear to me how people are thinking about Russia. But if you assume that we are successful in that transaction, that will be an $80 million deduct. So, the recovery should allow us to fully offset that if that happens. We also have the two growth projects that are coming in. The Davenport project is already generating EBITDA. We plan on getting half a year EBITDA from the Lancaster project. So, the headwinds that we have to handicap against that, what may have changed is Europe. How is Europe going to recover coming into 2023, we kind of mentioned that, that’s $100 million of EBITDA for us. And hopefully, 2023, sometime in the first half of the year, we start to see some signs of improvement. And then you have got the inflationary environment here in North America, and we will be passing that through in price on the industrial contracts in spot, but we will have some lag on our long-term contracts that will come off of that. And then the other positive factor is aerospace should be a tailwind for us in 2023 and 2024 as we move forward. So, I think we will have a much better view of the two risk factors that I mentioned in Europe and inflation in North America as we come into the New Year and start talking about 2023 guidance on our next call.
Corinne Blanchard: Alright. Thank you. I will take the rest offline. Thank you.
Operator: Thank you. [Technical Difficulty]
Unidentified Analyst: Okay, got it. And then as far as North American packaging markets, looking at your own new view kind of on the long-term CapEx investments, have you seen any signals of others doing the same yet? You have had a number of large aluminum projects announced, do you think or have you seen any signals of others thinking about delaying projects as well?
Tim Myers: I have not. I have not used – I think the latest announcement of the significance was the SDI announcement last quarter, and I haven’t seen any updates on that.
Unidentified Analyst: And then just one on the automotive side, some of the larger OEMs have been benefiting from, as you mentioned, shipping almost completed vehicles and just waiting on components. If you look at SAAR relative to that inventory, how does that impact the auto pull through? Should we eventually expect some sort of catch-up trade or the OEMs kind of managing the aluminum pull at this point?
Tim Myers: So, as I think about 2022, I will answer there first. I think we have seen continued improvement in the automotive demand. It still has some fits and starts as I called them earlier, but it’s more concentrated. So, if we were thinking about this last year, almost all of our customers were intermittently taking outages because they were having supply chain problems. That’s gotten more concentrated. So, we still have a couple of customers that are struggling with that. There are some OEMs that have talked about the backlog of vehicles that they are carrying into this quarter. I think I read in one of the Ford releases that they had about 40,000 vehicles still left to clear that they were trying to clear this quarter. But when you look at IHS and their view of next year, they have still got an uplift. I think the last numbers I saw, they were going from about 14.6 million to 15.4 million next year, which is roughly 6% growth. So, I think we will continue to see recovery in automotive, but still not approaching that 17 million vehicle SAAR that we were enjoying prior to COVID.
Unidentified Analyst: Okay. Thank you for the time.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I would like to hand the program back to Tim Myers for any further remarks.
End of Q&A:
Tim Myers: Thank you, Jonathan and thanks to all of you for joining us today. We continue to be excited about the path forward for Arconic and we are confident in our ability to deliver long-term adjusted EBITDA growth and returns of capital to our shareholders. And I look forward to talking to you next quarter with another update.
Operator: Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect.